Operator: Ladies and gentlemen, thank you for standing by. Welcome to The TJX Companies' fourth quarter and full-year fiscal 2010 financial results conference call. (Operator Instructions) As a reminder, this conference call is being recorded Wednesday, February 24, 2010. I'd like to turn the conference call over to Ms. Carol Meyrowitz, President and CEO for The TJX Companies, Incorporated. Please go ahead, madam.
Carol Meyrowitz: Thank you, Eran. And good morning everyone. Before I begin, Sherry has few words.
Sherry Lang: Good morning. The forward-looking statements we make today about the company's results and plans are subject to risks and uncertainties that could cause the actual results and the implementation of the company's plans to vary materially. These risks are discussed in the company's SEC filings, including without limitation, the Form 10-K filed March 31, 2009. Further these comments and the Q&A that follows are copyrighted today by The TJX Companies. Any recording, retransmission, reproduction or other use of the same for profit or otherwise without prior consent of TJX is prohibited and a violation of United States copyright and other laws. Additionally, while we have approved the publishing of a transcript of this call by a third party, we take no responsibility for inaccuracies that may appear in that transcript. Please note that the financial results and expectations we discuss today are on a continuing operations basis. Also we have detailed the impact of foreign exchange on our consolidated results and our international divisions in today's press release and the Investor Information section of our website www.tjx.com. As a reminder, the comparable store sales numbers that we talk about today are on a constant currency basis. With respect to the non-GAAP measures we discuss today, reconciliations to GAAP measures are included in today's press release and posted on our website www.tjx.com in the Investor Information section. Thank you, and now I'll turn it back over to Carol.
Carol Meyrowitz: Thanks, Sherry. And joining me on the call today with Sherry are Jeff Naylor and Ernie Herrman. 2009 was the great year, but it was a great year on top of many great years. I believe that we have many more ahead of us, which is why I am going to spend a lot of time on this call talking about – or not talking about ’09’s results. I will focus instead on why we believe so strongly that our consistent profitable growth to sustain as well. I will discuss why we are convinced that our new customers will continue to shop less even when times improve, and we will continue to gain market share. Then I will drove into why we believe our strong margin is sustainable. Lastly I’ll discuss in many ways in which we are growing this company profitably for the future. Before I continue I’ll turn the call over to Jeff to recap full year and fourth quarter results.
Jeff Naylor: Okay, thanks Carol. Good morning everybody. I will begin by recapping the full year fiscal 2010 results. To begin, net sales reached $20.3 billion, that’s a 7% increase over the last on a reported basis and adds up 8% on a 52-week comparable basis, which excludes the one point benefit we got from the extra week in last year’s fiscal calendar. Consolidated comp store sales were up 6% on top of last year's 1% increase, which was a much tougher comparison than those of our retail peer group. As we’ve noted many times before, comps were driven and continue to be driven by increased customer transactions as the value of the average basket was down in the mid-single digit range. For the year diluted earnings per share were $2.84, up 37% over last year's $2.08 per share. The prior year benefited from an extra week in our fiscal calendar as well as certain other items, which impact comparability and will be detailed in today's press release. If we exclude these items on a 52-week comparable basis, EPS increased 48% over last year’s adjusted $1.92 per share. Foreign currency exchange rates were not a significant factor, negatively impacted EPS by a penny this year compared with a one penny benefit last year. So clearly we have a business model that delivers consistent EPS growth. We’ve delivered 14 consecutive years of EPS growth on a continuing operations basis, and we’ve achieved compound annual EPS growth of 18% over the last five years, 13% over the last 10 years and 23% over the last 15 years. Clearly, our financial performance of growth has been consistent. We have a model that is much more stable and less volatile than the vast majority of retailers with very high returns on invested capital. Continuing with last year's results, the consolidated pretax profit margin was 9.6%, that's up 200 basis points from prior year on a reported basis. Comparisons to prior year were adversely impacted by approximately 40 basis points due to last year's 53rd week as well as certain items impacting comparability that again are detailed in our release this morning. Foreign currency exchange rates did not meaningfully impacted pretax margin comparison. And the gross profit margin was 210 basis points above last year, primarily due to very strong merchandize margins combined with some buying and occupancy expense leverage. SG&A expense improved 10 basis points as a percentage of sales despite a 50 basis point increase in expenses related to performance based incentive compensation as we exceeded our plan so significantly. As we’ve discussed on prior calls, we have a broad based incentive comp that goes very deep into the organization and includes thousands of associates including our store managers. Excluding this item SG&A expenses improved 60 basis points compared to prior year. As to the inventories, at the end of the fourth quarter consolidated inventories on a per-store basis, including the warehouse were down 10%, and excluding the impact of foreign currency they were down 12% per store. We began the year with very clean inventories, extremely well positioned to take advantage of the enormous buying opportunities in the marketplace. At Marmaxx, our total inventory commitment, including the warehouses, stores and merchandise on order was essentially flat versus last year on a per-store basis. We would expect Marmaxx inventory commitments to be flat to slightly up over the first half of fiscal 2011given the strong pace of our business this year compared to last. Let me now turn to the fourth quarter results. Net sales for the 13-week fourth quarter were $5.9 billion, a 10% increase over last year on a reported basis, and up 18% on a 13-week comparable basis, which excludes the 8 point of the extra week in last year’s fiscal calendar. Our consolidated comp store sales were up very strong 12% for the quarter. Diluted EPS for the fourth quarter were $0.94, that’s up 62% over last year’s reported $0.58 per share. Again, prior year’s results included items impacting comparability which are detailed in today’s press release. Excluding these items diluted EPS increased 104% over the adjusted $0.46 per share last year. Our consolidated pretax margin was 10.7%, up 330 basis points over prior year for the quarter. Comparisons to prior year were adversely impacted by the prior-year reduction to the computer intrusions reserve which benefited last years’ pretax margins of 540 [ph] basis points. So they’re actually up a little bit more than we have this year with that impact. Our gross profit margin improved 410 basis points over last year due to extremely strong merchandised margins combined with buying and occupancy expense leverage. The benefit of the 53-week to last year’s gross profit margins were essentially offset by the negative impact of mark-to-market adjustments on inventory hedges during the same period last year. SG&A expense for the quarter was up 30 basis points as a percentage of sales with the positive impact of cost reduction initiatives and expense leverage more than offset by higher performance based incentive compensation in contribution to the TJX Foundation which combined had an adverse 110 basis point impact. So excluding that impact, SG&A actually leveraged by 80 basis points. Now let me turn the call back to Carol and I will recap our first quarter full-year guidance at the end of the call.
Carol Meyrowitz: Thanks, Jack. So let me get straight to the major scene I want to highlight on this call, which are first, why we believe our strong comps and customer traffics are sustainable; second, why we are confident that our margins are sustainable; and third, how we plan to increase square footage growth while simultaneously delivering strong financial returns. We are very confident that our outstanding 2009 performance was not a one-year phenomena and we believe that we can ultimately grow this company to be double the size that it’s today. I will begin with what gives us confidence and the sustainability of strong comps and traffic. First, we entered 2010 with significant momentum which bodes very well for our future. If we look at our two- and three-year aggregate comps, the trend in our business continues to accelerate in the fourth quarter. Second, we believe that there has been a paradigm shift among customers to value. We expect that the economic recovery will be needed and our history shows that after recession new customers stick with us and comps increase. Regardless of whether the economy is weak or strong, value isn't going out of style. Also, if some of our newly acquired customers go back to shopping at their favorite high-end department store more often than in the past, it does not mean they’ll stop shopping us. Our value proposition meets the needs of the consumer in an unconventional way. Our “no walls” business model enables us to shift rapidly as customers pace change. We can entirely eliminate one category and open a new category within weeks or months. We are sourcing products around the globe; we have opened over 2,000 new vendors in 2009 bringing the number in our vendor universe to over 12,000. We are actually more of a sourcing machine than practically any other retailer, and I am not sure that this is understood as well as it should be. I believe the quality of our merchandize mix is more exciting than ever and getting even better. My expectations for 2010 is to vow our customers even more. The third reason we believe our strong comp and profit are sustainable with our broad customer demographic reach, which we believe is wider than just about any other retailer. With our various concepts and international scope, we have heeled to high, middle and low-end demographics. Our numbers tell us that new customers are driving our transaction, and that we are pulling new customers from a widening range of income level. There is a whole new group of customers out there who have discovered us and could not be happier with the value that we are bringing to them. Even more exciting is that our research shows us that new customers intend to continue shopping with us. Our research further shows that 75% of US shoppers have not shopped our stores in the past year. That means there are tens of millions of untapped shoppers in just the US alone we can attract to our stores with great value. Fourth, we are making significant investments in marketing to drive traffic and then our shopping experience keep our customers coming back. We expanded our advertising reach in 2009 and we’ll go even further this year. We will be continuing with our educational messaging, increasing our advertising spend and our penetration will be even greater than last year. While our marketing message is driving new customers to our stores, we understand that a great shopping experience is what keeps them coming back. In '09, we began an extensive store remodel program, and by fall 2010 Marmaxx will have 700 stores in the new prototype. As this represents 40% of Marmaxx stores and we are seamless [ph] in remodel stores, we believe this creates an opportunity for us in the back half. We expect to continue our aggressive remodel program over the next three year. When we considered the combination of our momentum, the paradigm shift of consumers to value, our unusually wide demographic reach, the strength of our marketing and our upgrading the shopping experience, what all of this means for the future of our business, we believe that our strong momentum will continue. Now I'll move from top line drivers and margin sustainability, which we know is a big topic of discussion out there. Let me start by saying that we expect pretax margins to increase slightly in 2010 on top of a very strong year we just delivered. Jeff will get into the details in a moment but let me share with you why we are confident that we will achieve our margin goals. First, our gross margin increases in 2009 were largely driven by lower inventory levels, and we plan to run even higher this year. Our inventories are turning faster than ever before and our plan is to turn that even faster in 2010. Leaner inventories and faster turns both are biased by even closest can be driving mark-on and reducing mark downs. Merchandised margins increased significantly in 2009 and we are planning the outcome of slightly in 2010 – in 2010 on top of 2009 strong performance. Further, we continue to improve our supply chain to work faster and better, getting the right merchandise to the right stores at the right time. The bottom-line here is that improved merchandised margins are sustainable as long as we manage our inventories well and lean. Second, we obtained the benefit of our cost containment initiatives in the last few years and believe that significant opportunities still remain. For 2010, we are planning expense reductions of $50 million to $75 million and I believe we have a good chance of exceeding that range. Our big rocks continue to be non-merchandised procurement in store and DC labor efficiencies and supply chain. Third, we continue to have significant leverage opportunities. Our younger businesses are still moving towards a targeted profit margin potential and we gain leverage as they grow their store basis. We also gained leverage at our establish businesses Marmaxx and TJX Canada continue to grow their store fleet. Our European expansion enables us to spread cost across a wider store base and leverage our Pan European structure. Further, our newer European businesses are showing very attractive financial return potential. Our stores in Germany continue to outperform and we expect our German business to be profitable this year. We are also pleased with Poland’s initial sales. Now let’s turn to how we plan to grow square footage and simultaneously drive strong financial returns. We netted 91 stores in 2009 and the vast majority are exceeding plans. With the success of our growth vehicles, we now believe we can grow square footage at a rate faster moving from 3% in 2009 to 5% in 2010 or a net 130 stores. Further, in 2011 our plans call for accelerating square footage growth to approximately 6%. Let me share with you the reason for our confident and accelerating the pace of our growth. TJX has plenty of room to grow. With over 2700 stores today, we believe we have the potential to ultimately grow to over 4200 stores with just our current portfolio in our current markets alone. That’s before our further expansion in Europe or a rollout of our standalone shoe concept or any other new concept. We have a successful track record of delivering growth with financial return. Returns on invested capital – our invested capital has increased as we have grown our business and now stand at 20% after tax. Now let’s talk about how we're looking at growth. We continue to believe that we are far from finish in adding stores to Marmaxx. We see the potential to add several hundred more stores at this division and grow it to the over 2,000 stores long-term. Because we see this potential, and because of the huge leverage we get from Marmaxx, our priority is to aggressively add stores to Marmaxx while supporting growth for HomeGoods and A.J. Wright. HomeGoods had an outstanding year in 2009 delivering segment’s profit margins that support our growth plan. A.J. Wright also had a great year achieving store contribution level that give us the confidence to rollout this chain further. We will take a steady approach with these businesses in 2010 and may accelerate store growth in 2011. Further we are pleased with our standalone Marshalls Shoe Megashop concept, just one of our growth thing [ph]. TJX Europe is exceeding expectations and the landscape is wide open for A.J. Wright. In addition to Germany performing well customers response to HomeSense in the UK is phenomenal and Poland is off to a solid start. With the early success of these businesses, we will be growing at a faster pace in Europe this year and likely we’ll do more next year. We also want to tell you about our plan to launch a new off chain concept in spring of 2011. We are not ready to let you know the name or the details yet, but it has the potential to be a 90 to a 100 store chain. Stay tuned as we will be sharing more with you as soon as we get on to this exciting venture. The final point I want to share with you on growth is that we are investing in our infrastructure and hiring the best talent globally to support our plans for square footage growth acceleration. Now I’ll spend a moment on our financial strength. For 2010, we are taking a balanced approach to managing our cash. First, we’re aggressively investing in our growth and we are increasing our CapEx to $750 million range. Jeff will provide details on this in a moment. Even with this increase, we plan to buyback close to $1 billion of TJX stock, and expect that our Board of Directors will increase our dividend by 25%. With all of this we still forecast ending 2010 with cash well over $1 billion. In terms of our financial plans for fiscal 2011, we will continue to plan conservatively and strive to surpass our goals as we have done successfully over time. Jeff will go through guidance in detail in a moment. So in closing, I hope that I have – in closing I hope that what I shared with you today make you as confident as we are in the continued profitable growth of TJX. We are very confident that our top line and bottom line performance is sustainable. We started 2010 with great momentum, which we believe bodes relative extremely well for our businesses. We are not your average retailer, we operate an extraordinary business model on a very large scale that delivers consistent performance in strong and weak economic environment and enables us to create merchandise categories quickly and ease the stake current with the customer demand. We believe we’re extremely well positioned to capitalize on the value oriented mindset of consumers, which believe is here to stay. We have very broad customer appeal, and it is only widening in its environment. All of our growth vehicles are performing well, and we have plentiful opportunities in front of us on our confidence and our ability to deliver growth with financial return. I am excited about our growth prospectus for 2010 and believe we have many more great years to come. Our no loss business model allows us to drive cost, we are increasing the rate of square footage growth and we plan to run with even leaner, faster turning inventories which allows us to increase margin. While aggressively reinvesting in our business, we are also distributing significant returns to our shareholders. We are careful and methodical in our approach to our business and have the confidence that TJX will be a $30 billion and then $40 billon company. Now, I would like to turn the call back to Jeff to go through our guidance and then we will open it up for questions.
Jeff Naylor: Thanks, Carol. Let me first provide you with our view of the three-year model. We continue to model on annual EPS growth rate for the next three years in a 12% range, which as Carol mentioned, we have exceeded over time. This model is based on a comp store sales increase in the 2% range, square footage growth in the 5% to 6% range, margin expansion contributing approximately 1 percentage point of EPS growth and 3 to 4 points of EPS growth coming from the stock buyback. This difference from prior models, as Carol noted earlier, as we are planning acceleration in the square footage growth. Let me downturn the guidance for fiscal 2011 and cover both the full year and the first quarter. My full year comments are going to be at high level, and we are providing guidance for TJX on a consolidated basis only at this time. On the other hand, the first quarter guidance will be more detailed and we will have a full model with division detail available for you. For fiscal 2011, we expect diluted EPS from continuing operations for the full year to be in the range of $3.06 to $3.20 which represents an 8% to 13% increase over $2.84 which we earned in fiscal 2010. Some of the detail. This guidance assumes consolidated top-line sales of about 21.5 billion to 21.7 billion and a consolidated comp store sales increase in the 1% to 2% on both a consolidated basis and at the Marmaxx Group. For the year, we expect pre-tax profit margins to be 9.5% to 9.8%. This represents a 10 basis points decrease to a 20 basis point increase over fiscal 2010, our strong margin performance. We are confident we can deliver this level of profitability at a very low single-digit comp increase giving continued inventory management and cost reductions opportunities. Some of the elements, we expect gross profit margin to be flat to slightly up, and SG&A to be flat to slightly down as a percentage of sales versus fiscal 2010, again, on a 1% to 2% comp. Foreign exchange rates, assuming current levels, provide about a penny of the planed EPS growth over fiscal 2010. For modeling purposes, we are planning net interest expense in the $40 million range and tax rate of 38.4%, which is up 60 basis points over prior year and a weighted average share count of 409 million. Capital is planned in the $750 million range, and we are planning to buy back in the range of 900 million to 1 billion. While we are not providing guidance here on our first quarter, we would expect comps to be stronger in the first half and then flat to slightly down in the back half as we anniversary last year’s strong numbers. Now, let me turn to first quarter guidance. We expect earnings per share to be in the range of $0.60 to $0.65 which is a 22% to 33% increase over last year’s very strong $0.49 per share. We are assuming a first quarter top line in the $4.8 billion range with comps in the 3% to 5% range on both a consolidated basis and at the Marmaxx Group. As the monthly costs for the first quarter, for February we are planning comp sales increases of 8% to 9% on a consolidated basis, and 9% to 10% at the Marmaxx Group, and I should note that these increases are coming despite the unfavorable wintry weather that we saw during the month. On both the consolidated basis and at the Marmaxx Group, we are planning on comp increases of 2% to 4% in March, and flat 2% in April, which are reflective of the shift in Easter earlier in the calendar this year. Pretax profit margins are planned in the 8.5% to 9% range in Q1, up 70 to 120 basis points over prior year. In terms of some of the elements, we’re anticipating first quarter gross margin in the range of 25.8% to 26.2%, which is 100 to 140 basis points above last year’s strong performance. We’re expecting SG&A as a percentage of sales to be about 17% to 17.1%, now that’s up 10 to 20 basis points over prior year. This increase is largely driven by higher store payrolls, because we are up against some very deep cuts last year, probably too deep, and also are impacted by the impact of our European new businesses and certain other factors, which combined slightly offset our planned cost reductions. Again as I mentioned earlier we are planning SG&A flat to slightly down for the full year on the 1% to 2% comp, and comp our ability to leverage. For modeling purposes, we are anticipating a tax rate of 38.4% and net interest expense to be in the $10 million to $11 million range. We anticipate a weighted average share count of approximately 414 million for the quarter. I will wrap it up with our store growth plans for next year, for fiscal 2011. As Carol mentioned on a consolidated basis we planned to net 130 stores for a total of 2873 stores by yearend and increase square footage by approximately 5%, so let me talk to these statistics. In the US starting with Marmaxx, we planned to increase the store base by a net of about 43 stores for a total of 1746 stores by yearend. At HomeGoods we’ve planned to net nine stores for a total of 332 HomeGoods stores by the end of the year. At A.J. Wright, we anticipate netting eight stores for a total of 158 stores by yearend. At TJX Canada, we planned to net four Winners stores and two HomeSense stores to end the year with a total of 296 stores in Canada. Now in Europe, we expect to add a net of 44 new stores in fiscal 2011. In the UK, we expect to add 10 T.K. Maxx stores as well as six HomeSense stores for a combined total of 265 by the end of the year. We will continue to take advantage of the phenomenal real estate opportunities we’re seeing in the UK. We also expect to open 25 stores in Germany for a total of 49 stores in that country by the end of the year. In Poland, we expect to open three stores in fiscal 2011 for a total of seven stores in that country by the end of the year. And finally, like last year we are maintaining a funded our capital plan to take advantage of the best real estate opportunities, the bulk of which will likely be at Marmaxx and in the UK. These additional stores are included in the 130 stores we’ve planned to add in fiscal '011, but not in the divisional plan I've just recount. We ask you please – we’ll open the questions now, we ask you to please limit your questions to one per person. To keep the call on schedule, we are going to enforce the one question limit, and we appreciate your cooperation. So thanks, and with that I'll turn it back to Eran and we’d like to take questions now.
Operator: (Operator Instructions) Our first question today is from Kimberly Greenberger.
Carol Meyrowitz: Hi, Kimberly, how are you?
Kimberly Greenberger – Citi: I am great, Carol. Congratulations on a terrific quarter.
Carol Meyrowitz: Thank you.
Kimberly Greenberger – Citi: Carol, I think you gave a lot of compelling reasons as to why the operating margin is sustainable here, I am just looking back historically, and there have been slight volatility over time in that operating margin and I am wondering if there has been a fundamental change in the way we run business that leads you to believe that maybe some of that volatility has been removed? Thanks.
Carol Meyrowitz: Well, we’ve been earnestly striving over the year in terms of the supply chain to lean up our inventories and to make us faster fresher, that’s been a goal that we have been working on for several years. So, I think that this year was a big step for us in running our inventories a lot leaner and turning almost a week faster. I believe that we have reached a level that we can go a little bit further, but I think there is a shift in the way we run our business.
Jeff Naylor: We have in the past and really historically when you look back beyond three to four years back, when with ploughing [ph] back into business we have typically had planned our businesses at higher level of comps. And what happens is that if we have a miss, it was harder to pull back both inventory in cost dollars which is related to some of that volatility. And I think now given that we plan our comps much lower than we did in the past, we set the inventory plans as Carol mentioned, much leaner now as a result of that as well as actions we’ve taken to improve the way we manage inventory. And we are also more focused on cost reduction over the last three, four years than we were in the past. All those things really help take the volatility out. The one other thing I want to add is that when you look at the volatility our gross profit – our volatility is so much lower than any other retailer out there. I am sure, you’ll have, given the way we can chase; it’s an opportunity to adjust inventory levels.
Kimberly Greenberger – Citi: That’s the way everybody thinks?
Carol Meyrowitz: Well the only time we have gotten ourselves in trouble is honestly when we have driven up our inventory too high.
Operator: Thank you. Our next question is from Richard Jaffe.
Richard Jaffe – Stifel Nicolaus: Hi, thanks very much. A question on inventory turn, we have seen that there is nice acceleration in turn – one ring where you ended by division with in-store turns, and where do you think you can go from here, it’s already remarkably – or remarkable historically? Thanks very much.
Carol Meyrowitz: Richard, we don’t – we really don’t talk as to the individual division turns. I can however tell you that, again, we do believe that there is room for us to turn even faster than we did in ‘09 and that’s what we are striving for.
Richard Jaffe – Stifel Nicolaus: And if I can just ask a second, the Internet business by some offsite retailers, I am sure you have seen Movealot [ph] or Galeton [ph] just wondering how do you see that relates to your business?
Carol Meyrowitz: Well, we did start an Internet business in Europe and we are actually very pleased with the results. We are well aware what’s going on out there in terms of the Internet, and as we – we still – that will be a future possibility for us and, again, we want to be methodical thoughtful, and when we do get to enter in that arena in the States we would like to do it right. We were in the Internet business in the past; we closed it but we have been researching it and I think it’s a future potential for us.
Richard Jaffe – Stifel Nicolaus: Look forward to hearing more on that. Thanks a lot.
Operator: Thank you. Our next question is from Jeff Black.
Jeff Black – Barclays Capital: Hey, thanks. Turning to the store build-out, it looks like there is more of an emphasis on the core Marmaxx over the next couple of years. I am just wondering what’s driving that. Is it lower rents, or are you finding better opportunities? And, also on the A.J. Wright business, related to that, it looks like we are building fewer stores than I would have thought. You say the business is where you want to be, is there just more work that needs to be done before we definitively roll that out in a bigger fashion then, can it still be the growth vehicle, you have been contemplating in the past several years? Thanks.
Carol Meyrowitz: Jeff, it's all about prioritizing. It’s just, when you have an open to buy, we see – we take the moment and time to seize the day. Marmaxx what we are seeing is with the Marshalls next to Maxx, both are performing extremely well, we differentiated the businesses over the years, and we are really at a point in time when we are putting the two together, they both do extremely well. So we are seeing more room there. We are also seeing our Mega shoe concepts doing well. So, it's really a matter of prioritizing, so we are exceeding A.J.s, we are exceeding HomeGoods, but at the same time we really want to accelerate Marmaxx and Europe because the return on investment is so strong there. So we absolutely believe that A.J. Wright right has the potential to be 500 plus stores, but again it’s taking that capital and being intelligent how we invest it.
Jeff Black – Barclays Capital: Great, thanks. Good luck.
Operator: Our next question is from the Michelle Clark.
Michelle Clark – Morgan Stanley: Yes, good morning and congratulations on a very strong quarter.
Carol Meyrowitz: Thank you.
Michelle Clark – Morgan Stanley: Carol, in the past you said that as you see less attractive buyers [ph], inventory turns start to pick up in the wholesale channel that you can increase AUR. We would love to hear your thoughts on the potential to take up AUR by segment, your outlook for 2010?
Carol Meyrowitz: Okay. Well, we planned it conservatively, so we have plans, our average retail is slightly down, however, that's only going to be on the plus side as it trends up, and we are going to see how it goes through the year. It is leveling off at this point, and we are seeing a little bit of – less of a decline from a year ago. So, again, it’s about keeping that distance between us and the department store. So to us it will just be upside, if it’s flat or slightly up this year.
Michelle Clark – Morgan Stanley: And what do you think is the potential, how much do you think you can increase without negatively impacting traffic in the stores?
Carol Meyrowitz: I go after pure value, so I never look at it as what it should be or how to plan it. We go after it as we want to give the best value to the customer.
Michelle Clark – Morgan Stanley: All right, great. Thank you.
Operator: Thank you. Our next question is from Daniel Hofkin.
Daniel Hofkin – William Blair: Good morning. Excellent results. Just had a, I guess, a question about one or two of the divisions in the fourth quarter, the segment profits at A.J. Wright specifically. And then I guess, looking specifically related to your comments on the vendor base having grown so substantially in 2009, what – are you at this point pretty satisfied with kind of the current size of the base and the mix of vendors or do you see a potential even further opportunities given the continued fallouts from the recession? Thank you.
Carol Meyrowitz: All right. Well, I'll foster the vendor base and then Jeff will talk to A.J segment comp in the fourth quarter. You know we are going to keep increasing our vendor base, I mean we have worked very, very hard in the last several years, and as I’ve talked before we have over a 100 people in Germany. We have offices now in India, we have offices in France, we have offices in Denmark. So it’s the excitement of our mix and its future its constant change and newness and being ahead of our fashion curve. So we will continue to increase our vendor base, and obviously there will be standard that we drop because they may not be appropriate for our business, but this is never going to stop, I mean, this is part of what until we are and that’s part of our supply chain machine. So, we will increase that. Jeff, you want to go through?
Jeff Naylor: Yes, I am going to anticipate your question here, Daniel. I am going to – A.J. Wright last year reported a second profit margin of 2.7% in the quarter and this year it’s 2.5%. So I assume you are curious as to why it would be down 20 basis points when we true-up inc comp on the business. And it’s really simple, the function of the 53rd week and the bonus. Last year we benefited 70 basis points from the 53rd week. We obviously didn’t have that 53rd week this year. And also the bonus impacted A.J. Wright by about 70 basis points. So it’s almost – the other A.J. actually excluding those factors increased its pretax segment profitability by a 120 basis points, which is really in line with what we would have expected it to be. In terms of – I am going to – you didn’t ask this question, but we actually had a very similar situation with Europe, where Europe was down a 100 basis points on a reported basis but when you back up the 53rd week and the bonus you actually got quite a bit of leverage there to. So, I will anticipate that might be a question of you will be interested and that’s the answer.
Daniel Hofkin – William Blair: I appreciate that. It was really to that – I guess, the question of did those divisions in light of those two, sort of, non-comparable factors, were they in line with your margin expectations?
Jeff Naylor: Very much, though, actually above the margin expectation. We are seeing strong merchandised margins across those businesses just as we did in other businesses and we are continuing the leverage cost when you slid out the bonus.
Daniel Hofkin – William Blair: Great. Thank you very much.
Operator: Thank you. Our next question is from Paul Lejuez.
Paul Lejuez – Credit Suisse: Hi, thanks guys. Can you maybe share with us your traffic first ticket assumptions that underpinned that 1% to 2% comp guidance, and Jeff, can you maybe give us a breakdown on CapEx just how to split up that 750 between new stores and remodels and other projects might have going on?
Jeff Naylor: Sure.
Carol Meyrowitz: First of all, we don’t give specifics on traffic, but I can assure you it’s continuing and it’s very, very aggressive and we are seeing that continue in the months of February. So we have pretty strong momentum there. Jeff, you want to address that?
Jeff Naylor: I think as you think about it, we the retail spots are slightly down, transactions would be often – that would be implied in the one to two, so. In terms of capital, maybe I just talked to the increases, Paul that’s okay. We would anticipate that between new stores, remodels and in-store initiatives that, that would represent about two-thirds of the growth in the CapEx budget year-over-year. The balance of it is adding distribution capacity to support our European growth as well as some systems investment to support European growth and to replace some end of life hardware. I mean, probably would have said in the United States. We are doing nothing in the systems or by the way that would put our business at risks to sell a major software replacement or anything about sort of note. The one other thing included in the increases is that we do have an opportunity fund or a contingency that is available to Carol to add some more new stores or other investments as we see. So it’s kind of hitting that we are maintaining in corporate that’s about 30 plus.
Paul Lejuez – Credit Suisse: Jeff, how much is the cost to open a store in the US versus Europe?
Jeff Naylor:
 :
 :
Carol Meyrowitz: Yes. I was going to say, Paul, we are going to in terms of CapEx we're going to continue pretty close to that pace going forward.
Jeff Naylor: Yes, I mean, the cost to open a new store in the US, it’s obviously more expensive in Europe, just kind of flipping through some numbers, make sure I give you a good number. I think with the inventory, this is almost twice as much in Europe. But that said, our European stores are significantly more productive than our U.S. stores because of the density that we typically find around the store, which allows us to generate similar contribution markets as we would make in Marmaxx.
Paul Lejuez – Credit Suisse: Thanks guys. Good luck.
Carol Meyrowitz: Thank you.
Operator: Thank you. Our next question is from Jeff Stein.
Jeff Stein – Soleil-Stein Research: Jeff, couple of questions here real quickly. One, incentive comps, and I'm wondering is part of the increase that we are seeing in the first quarter due to the fact that you’re going to try and smooth out the incentive comp accrual in the new fiscal year? And then also, if you can kind of break out for us the leverage in buying and occupancy versus merchandise margin improvement that you saw for the fourth quarter and year? Thank you.
Jeff Naylor: Okay. So, in terms of the impact of the bonus on the – First, you wanted that on the first quarter, right, Jeff?
Jeff Stein – Soleil-Stein Research: Yes, first quarter, and then for the year as well. I presume that it was so large in the back half of the year because you just had under accrued during the first two quarters, maybe that’s not correct but I'm assuming that’s part of it.
Jeff Naylor: Part of it was a pick up, so there is not a – as we look at the SG&A rate for first quarter of fiscal '11, incentive comp doesn’t have a – isn’t a big factor because we were essentially on our plan or slightly ahead of the plan last year in the first quarter, so we didn't have a tick-up in incentive comp last year that were going up again this year. As we look at the full year we do have, we kind of break down the SG&A. We have got – we are on the pickup for the full year from bonus, Jeff, because obviously we have a higher bonus expense in fiscal ’10 that we are going to have in fiscal ’11 because of the – we are planning fiscal ’10 – fiscal ’11, as we plan for fiscal ’11. So we are planning fiscal ’11 as a plan, whereas in fiscal ’10 we significantly exceeded the plans. So there is pickup in the bonus that is largely being offset by some expense increases in some other areas. We get a little bit of deleveraging, in fact as we – but the rapid expansion in the European business, the average retail we are planning down, as Carol mentioned that we need to ship more units to do the same business so that has some impact on SG&A. There is some increases in medical costs and so on. So those largely offset the pickup we get from the bonus next year.
Carol Meyrowitz: And investment.
Jeff Naylor: Right.
Carol Meyrowitz: Yeah.
Jeff Stein – Soleil-Stein Research: Okay, and buying an occupancy and merchandised margin?
Jeff Naylor: Yeah, we really don’t break that up. I guess what I would tell you is that we saw significant buying in occupancy leverage for the year and for the quarter but the lion share of the improvement in the gross profit margins will be incurred by merchandised margin.
Jeff Stein – Soleil-Stein Research: Got it. Thank you.
Operator: Thank you. Our next question is from Adrianne Shapira.
Adrianne Shapira – Goldman Sachs: Thank you. A question, you had mentioned, Carol, and obviously a big focus is to hold onto the new customers and drive that stickiness, and so I am wondering the remodel, it sounds as if you are seeing a conflict, any sort of help in terms of quantification because when we think about the guidance for the year as a one to two, you are obviously starting off very strong, with strong momentum in the three to five for Q1, I am just wondering since 40% of the Marmaxx would be in the remodeled format, why then should we expect the comps to decelerate to that one to two for the year?
Carol Meyrowitz: Obviously, we really don’t give out specific remodel cost, but and I think that as always we put a conservative model out there what we feel that we want to obviously build our cost to, and then anything above that, obviously will flow aggressively to the bottom line. So, we are planning prudently. We are doing very similar to what we did last year with our hope and our intent to beat those numbers. So, we’ve got a lot of this things going on, but we have no idea, again, with the economy what’s going to happen. So, I think we are being again planning prudently and being careful.
Adrianne Shapira – Goldman Sachs: It’s kind of protect the business in the back half given what numbers we are looking at?
Jeff Naylor: But that’s – I mean we were going to – should beat the numbers, we are not – if we don’t get excited about our comp flat is slightly down, Adrianne.
Carol Meyrowitz: We are, however, planning the back half on the conservative side. So we are looking at comp flat slightly down in the back half.
Adrianne Shapira – Goldman Sachs: Right. Okay, understood. Thank you. And then just a follow-up, if I could, in terms of the accelerated square footage that you highlighted, I am just wondering what you say to, you know, we’ve seen an environment where things like imitation, sort of, highest form of flattery, a lot of people are looking enviously to the offsite sector whether it’s Nordstrom accelerating the rack or Bloomingdales announcing sort of an outlet division. So, help us understand as you too see opportunity to accelerate square footage, help us understand and speak to the Mayfairers [ph] where you are not – there is an issue as it relates to perhaps securing real estate, securing inventory as more and more people kind of try and follow your leads? Thank you.
Carol Meyrowitz: Well, in terms of our competitors we are always looking at our competitors, but we are in a very different business and very key [ph] in terms of our sourcing, our supply chain and our flexibility. So we – I get asked obviously the question of, is that going to be good out there and I can answer this a 100 times a thousand times, a million times we are not concerned about it. Again, I just keep coming back to the sourcing, the way we source, our foothold all over the world. So, that is not a major concern for us. What we always look at our competitors. We always want to make sure our value is right against our competitor’s and that’s what we focus on. So, I think we feel very confident going forward, and I think it takes people a long time to get through with TJX as we have built this business over tens of years.
Jeff Naylor: And to lot of scale. And on the real estate side, Adrianne, we just work continuing to see terrific deals. So, as long as we see strong deals and strong returns, you know Carol mentioned, most of the deals we did last year were exceeding our numbers. So we’ll keep investing aggressively as long as we continue to see that.
Carol Meyrowitz: We don’t sign a deal unless it has the right return on investment.
Adrianne Shapira – Goldman Sachs: Great, best of luck. Thank you.
Carol Meyrowitz: Thank you.
Operator: Thank you. Our next question is from Todd Slater.
Todd Slater – Lazard Capital Markets: Thanks very much. Good morning everybody.
Carol Meyrowitz: Hi, Todd.
Jeff Naylor: Hi, Todd.
Todd Slater – Lazard Capital Markets: You guys made a really compelling case as to why comp growth is sustainable, and of course the history supports your case because you’ve grown comps 4% on average during recessions and 3% on average during all other periods since your IPO. But – and I understand your conservative guidance of 1% to 2%, but what I would like to get a better feeling about is what you see or what you are planning on the average tickets, since it was down pretty decently, last year the comparisons are easy, I would expect some stabilization in the ticket and obviously in the better environment that might even trend up because I am just curious what you are seeing, and if you could just address that trend, the average ticket trend in ’010 versus last year? And then how does it change with the potential for 90 to a 100 doors moved the needle to any great degree?
Carol Meyrowitz: Well, you will see when we announce it. We believe it has the potential to be a fairly profitable business. So again more to come on that, and as far as the average ticket goes, we have planned it slightly down so that anything that come close to flat or above will hopefully be gravy and drive comp and certainly drive to the bottom line. But what we want to do is to make sure we absolutely have the best value out there and that’s what we’re always striving for.
Todd Slater – Lazard Capital Markets: Thank you very much.
Operator: Thank you. Our next question is from Stacy Pak.
Stacy Pak – SP Research: Hi guys. A couple of questions, Carol, I was hoping you could kind of talk to us about what you see as the areas of opportunity in terms of merchandising focus? And also if you guys could expand on the supply chain initiatives getting the right products to the right place at the right time, when should we see all that impact, what are you doing in terms of profiling the stores, what level, that sort of thing? And then just a clarification on the SG&A, you said 50 to 75, is that the reduction in SG&A dollars or is there some offset so it's not down that much? Thanks.
Carol Meyrowitz: Well, Stacy, only get one question, which one do you want?
Stacy Pak – SP Research: I want you to address the merchandize and supply chain stuff?
Carol Meyrowitz:
 : And this year we test a lot of new categories, we are testing different categories for next year, but we think in some of our divisions where we had some weaknesses in the apparel areas, I think we are seeing some strength and I like where we’re going with that. The supply chain has been ongoing. Every single year we get more pointed, and that's been part of our investment over the years. And I think we have a long way to go but we definitely made some inroads last year, and I think this year we’ll be even better in terms of targeting our stores. So that’s an initiative that’s going to go on to the next several years. Again we don’t go in and say, let's just change our entire systems and do anything dramatic. So, we have been building on our days and getting much more focus and more pointed on it. So that will just be ongoing, but we did see some pretty good results in 2009.
Stacy Pak – SP Research: Can you give us any sense in terms of how you are thinking about the stores, Carol? Are you saying this is a fashion store, this is a – how you’re profiling the stores and how are you getting the right product there, can you give us any more detail there?
Carol Meyrowitz:
 :
Ernie Herrman: No, I think just backing up what Carol said, we have, our planning organization really does a great job on this and I think we have become more sophisticated in the last few years not just growing in by climate but by demographics, by location. So, I think we are really in a different place than we were a few years ago, and I can see that continuing to improve over the next couple of years.
Stacy Pak – SP Research: Great. Okay. Thanks and good luck.
Carol Meyrowitz: Thanks.
Operator: Thank you. Our next question is from Howard Tubin.
Howard Tubin – RBC Capital Markets:
 :
Carol Meyrowitz: Yes, we’ve moved the percentage slightly higher on the off price side of the business.
Jeff Naylor: Still a continuation of a trend we’ve been – seeing over for five years. Right?
Carol Meyrowitz: And we will probably see that trend continue this year to get a little bit higher.
Howard Tubin – RBC Capital Markets: Got it. That’s great, thanks.
Operator: Thank you. Our next question is from Laura Champine.
Laura Champine – Cowen and Company: Carol, if you ramp group footage growth just overall, is there any change to the size of the different boxes by concept?
Carol Meyrowitz: Laura, yeah, again, as we get better and better understanding with consumer, we look at the specific locations and the box is an relationship obviously to the demographics, the number of people that are in the certain radius. So, we flex dramatically. If there is a site in New York City and it’s a smaller box, but very, very high traffic pattern, we can do a smaller store and drive it. You will see the same thing in London. We have some stores that range as small as 12,000 square feet, to stores that range to 50,000 square feet. So, again, that’s the flexibility of our business and we can take full advantage of all of the real estate that’s out there.
Jeff Naylor: Yes, if you look at the average, the average at all outs, we can do larger boxes, smaller boxes, and Carol mentioned how we are flexible. But we also – when you look at just the average square footage, it’s pretty consistent. It actually has been pretty consistent, so that, I think in the past we might have opened – we had as much diversity in the kinds of deals that we did. Now we can have more diversity, but the average size of the box is pretty comparable to what has been for.
Laura Champine – Cowen and Company: Got it. Thank you.
Operator: Thank you. Our next question is from Marni Shapiro.
Marni Shapiro – The Retail Tracker: Hi, guys, congratulations. Jeff, I think Carol’s kiddy needs to go like three times. I could spend her kiddy on a good evening [ph]. I was very curious about two things, first marketing, you could talk about what your – we know what you are doing here in the US, if you could talk a little about what you are doing in Europe and as you expand in Germany and Poland, just to support these brands? And then, just a follow-up kind of clean up thing, could you just touch on loss prevention and shrinkage and remind us when you do a fiscal inventories company?
Carol Meyrowitz: Okay. In terms of marketing in Europe, it’s very, very different than in the United States, the United States we tend to drive TV a lot harder. Each country is very different. What Paul does in the UK is very different than what he does in Germany and in Poland. So, we are not going to let out our trade secrets, but they’re very, very different strategies. And Ernie is also looking Canada and really leveraging some of the things that we’re doing in United States with Canada, as we’re also leveraging some of the things that we are doing with Marmaxx, with HomeGoods. So, we really look at each brand very differently and how we market each brand.
Marni Shapiro – The Retail Tracker: But you are marketing all of these brands in these countries.
Carol Meyrowitz: Yes.
Marni Shapiro – The Retail Tracker: Okay.
Jeff Naylor: In terms of block prevention, we take a full physical inventory at the end of the year for each of our chains, every store in the chain. And in terms of (inaudible) we really don’t comment on that, that’s part of the gross margin results, and if it were a significant factor, it’s something we'd talk about but it really hasn’t been significant to the results for many years.
Marni Shapiro – The Retail Tracker: Excellent. Congratulations, guys.
Carol Meyrowitz: Thanks.
Operator: Thank you. Our next question is from David Weiner.
David Weiner – Deutsche Bank: Good morning, and thanks for taking my call. So, I had a question on long-term margin potential. I think in October during your Analyst Day, you had kind of broken that down by brand. Has there been any meaningful change to your kind of long-term pretax margin goals by brand and how that rolls up to the total company? Thanks.
Jeff Naylor: So, in total as I mentioned in the three year model, David, we’ve got about a point of our EPS growth over the next three years coming from margin expansions, that would equate to about 10 to 20 basis points over that time period. And that's almost entirely coming from leveraging our – increasing our margins at – of our businesses other than Marmaxx and Winners, which we plan flat. So the business, Marmaxx and Winners will be plan flat, other than Marmaxx and Winners we've assumed some leverage as we rollout new stores. As we think about the potential margins, the only thing we would say is at Marmaxx is the time we’re seeing 10.5 to 11.5, Marmaxx came in at 12. I think as Carol mentioned earlier we think we can maintain that, we’ll see how well we can do, so that’ll be interesting to see. I think with T.K. Maxx in the UK, historically we’ve said eight to nine, we are approaching nine as we exit the year and we still have leverage opportunities with Europe. So clearly T.K. in the UK can go higher and we would now anticipate that more in the 9% to 10% range. And we are going to see how high we take that. What’s interesting is that that our distribution network is Pan-European, we have many shared services that we are leveraging. And so as we grow Europe we are getting leverage in Europe, we are also getting more leverage in the UK. And lastly with HomeGoods, I think before we've said we thought it was about 8% business, we are now thinking it’s more like 8% to 9%, because again HomeGoods is approaching that 8% margin this past year and we still have, we could still double the fleet in terms of the number of stores. So there should be more leverage available there as we grow that. So those would the changes that I will highlight.
David Weiner – Deutsche Bank: Great, thanks, that makes a lot of sense.
Operator: Thank you. Our next question is from David Glick.
David Glick – Buckingham Research: And I'd say good afternoon and add my congratulations. In terms of your TV advertising in 2009, I believe that you went from regional to national buyers, and as a result reached a lot more markets in TV advertising than you had before. I'm just wondering if you – I presume at this point you’ve analyzed the success for that and the returns and just wondered how much of your success in 2009 was at least partially attributable to the approach you took at your TV advertising and the reach of it.
Carol Meyrowitz: Yes, we were very, very happy with our advertising strategy last year. And this year we are shifting more media back into the network TV. We are actually going to taking our individual brands, Marshals and Maxx and going network, which is going to be a pretty big increase in penetration. We’ve loaded up the back half and we are going to continue more aggressively also on our dual strategy. So, we are really very, very happy with our marketing strategy and I think we are going to be a lot more aggressive this year coming up.
Jeff Naylor: We are obviously seeing an attractive return there, but we really don’t want to publicly break out –
Carol Meyrowitz: Right –
David Glick – Buckingham Research: All right. Jeff, and just quick a follow-up, could you give us a rule of thumb on the flow-through if you are able to get incremental sales over plan, what kind of incremental flow-through as a percentage of sales that you generally carry to the bottom line?
Jeff Naylor: Yes, I would quantify that around like in the low 30s, so for every dollar of sales above plan I think 30% to 33% kind of in that range, and other way to think about it is point of comp above plan specifically gives us about 20 basis point of incremental margin on the bottom-line for a full year.
David Glick – Buckingham Research: Okay, great. Thanks a lot. Good luck.
Carol Meyrowitz: Thank you.
Operator: Thank you. And our final question is from Dana Telsey.
Dana Telsey – Telsey Advisory Group: Good afternoon, everyone and congratulations.
Carol Meyrowitz: Thanks, Dana.
Dana Telsey – Telsey Advisory Group: Can you talk a little bit about the differentiated areas in the store and how they are progressing whether it’s Runway, whether it’s Cube, are you seeing that in international stores too in terms how you are setting it up, and is that helping the international sales or possibility? Thank you.
Carol Meyrowitz:
 :
Dana Telsey – Telsey Advisory Group: Thank you.
Carol Meyrowitz: Well, I want to thank everyone, and I really look forward to reporting the first quarter so we will see you soon.